Operator: Good day, and welcome to the Moelis & Company Q3 2020 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would like now to turn the conference over to Mr. Chett Mandel, Head of Investor Relations. Please go ahead.
Chett Mandel: Good afternoon, and thank you for joining us for Moelis & Company’s third quarter 2020 financial results conference call. On the phone today are Ken Moelis, Chairman and CEO; and Joe Simon, Chief Financial Officer. Before we begin, I would like to note that the remarks made on this call may contain certain forward-looking statements, which are subject to various risks and uncertainties, including those identified from time-to-time in the Risk Factors section of Moelis & Company’s filings with the SEC and in our earnings release. Actual results could differ materially from those currently anticipated. The firm undertakes no obligation to update any forward-looking statements. Our comments today include references to certain adjusted financial measures. We believe these measures when presented together with comparable GAAP measures are useful to investors to compare our results across several periods and to better understand our operating results. The reconciliation of these adjusted financial measures with the relevant GAAP financial information and other information required by Reg G is provided in the firm’s earnings release, which can be found on our Investor Relations website at investors.moelis.com I will now turn the call over to Joe to discuss our results. Joe?
Joe Simon: Thanks, Chett. Good afternoon everyone. On today's call I'll go through our financial results and then Ken will discuss our business further. We achieved a strong third quarter earning $208 million of revenues -- this resulted in sequential growth for the second consecutive quarter since the onset of COVID-19. The general M&A landscape dramatically improved in the third quarter leading to a solid contribution from both strategic and sponsors. Our restructuring-related activity was the highest, it's ever been exceeding last year's record third quarter contribution. We experienced particular strength in out-of-court restructurings a specialty of ours. We continue to excel in offering innovative solutions which in certain cases can accelerate the timeline, to the resolution and avoid a lengthy Chapter 11 process. In addition our restructuring retainers remain significantly elevated over the prior year and our capital markets business continues to make a steady contribution to revenues. Moving to expenses adjusted compensation expense was accrued at 61% in the third quarter. Our non-comp ratio was 14% in the third quarter and we recorded $28 million of non-comp expenses due to continued low travel and continued expense discipline. Our normalized corporate tax rate remained at approximately 25%. This quarter's effective tax rate was higher than the normalized rate due to the reversal of some cares benefits previously accrued due to current quarter profitability. Regarding capital allocation the board declared a dividend of $0.3825 per share an increase of 50% from the second quarter which is halfway back to our former regular dividend. We've always operated from a position of financial discipline and remain committed to returning a 100% of our excess capital. And lastly we continue to maintain a fortress balance sheet with substantial liquidity and no debt. We ended the quarter with $266 million of cash and liquid investments and an undrawn revolver. And I'll now turn the call over to Ken.
Ken Moelis: Good afternoon and thank you all for joining the call. I know from looking at a lot of our people listening to our calls internal people. So I just wanted to say how grateful I’m for the dedication and focus you showed during the unusual time. You've all worked together to come up with innovative solutions for our clients which has created a powerful -- ops I’m sorry, powerful and positive energy within the company, even though everyone has been working remotely. I'm awed by the breadth and depth of the leadership dropped out of the firm during this crisis. Our unique culture sets us apart and allowed our people to come together creative -- creatively to solve client problems, which is why our business has been able to rebound so quickly. The fact that we have no debt and a fortress balance sheet enables everyone in the organization to put their heads down and concentrate on clients. Nobody was concerned about the financial health of our company and everybody was busy helping clients focus on opportunities. Also without the friction of an internal commission structure we were able to rapidly form new teams to deal with client matters, many of which that we have never seen before, even thought of or face. And lastly, I do believe COVID-19 will continue to reshape the global and economy for years to come. The ramifications of the pandemic will force companies to make large scale decisions about their marketing position, growth strategy and capitalization. And they will need an adviser who can quickly pivot their resources in stride with the changing environment. This is exactly what we do. I believe we are the best at it. And that is why I feel so great about the future of the firm. And with that, I'll open up to questions.
Operator: We will begin the question-and-answer session. [Operator Instructions] Our first question comes from Ken Worthington with JPMorgan. Please go ahead.
Ken Worthington: Hi good morning, I’m sorry good afternoon. Thank you for taking the question. You mentioned in accelerated path to restructuring by solutions how big a driver was that accelerated path to the restructuring success that you had this quarter? And in terms of the restructuring outlook, did you continue to see a ramp in activity levels throughout the quarter or has restructuring started to kind of level off given the environment?
Ken Moelis: No our just said it was on a current in basis that are retainers remain elevated. So restructuring continues, it's really a bifurcated economy 75% of it is really headlong looking at M&A 25% of it is having troubles and something like that. And so we are continue to elevate and find restructurings. And Ken, we’re just pointing out we always do out of courts. It's sort of a specialty of ours. It's a continuation. There was really nothing unusual about it other than people prefer it and we've done it. We've done a lot and we've always done it. I forget the exact percentage, but a significant percentage of our restructuring is done without doing it out of court. And we think it's innovative and it's so far as we're concerned most companies prefer to stay out of Chapter 11. I've found very few that like going in. Yeah especially after the fact after they've been through it.
Ken Worthington: Okay, okay fair enough. And then maybe your thoughts about a special dividend this year. Maybe it's a little bit of the cart before the horse, but given potential changes to the dividend tax rate under a certain election scenarios would you consider pulling forward a special dividend into 2020 or is the policy really to wait until March of the following year if you should choose to move in that direction?
Ken Moelis: Let's put it this way. I think our balance sheet and you know we’ve brought the dividend back but we still have a substantial amount of liquidity no leverage on our balance sheet as a fortress. Again we are pretty conservative with the virus floating around in case look people have a different read on it and we just don't know if we're done with, it feels like we're done business wise I mean things are picking up pretty dramatically. If there would be a substantial, I think you’ll take a substantial change in the election and an indication that there we're some relevance in bringing a dividend forward that would be a benefit. We would definitely think about it. And I want to say anymore because that involves our board that we have the capabilities of thinking quickly being nimble. And if there was something in the tax future that we could foresee that this was a real benefit, yeah we would respond to it.
Operator: Our Next question comes from Devin Ryan from JMP Securities. Please go ahead.
Devin Ryan: So maybe to talk a little bit about the M&A environment and what you guys are seeing there. Could you may be put just a little bit more flavor around the tone for business today and maybe how that compares relative to the pre pandemic levels when business was obviously quite healthy. And really what I'm getting at here is it feels like M&A is getting back to kind of similar levels we were at. Restructuring is at a higher level which, which would seem to come together for restructuring is at a higher level which would seem to come together for a pretty strong outlook for 2021, but really the M&A piece -- if you're trying to get a flavor for how you would frame that relative to call it the pre-pandemic pace?
Ken Moelis: I think our M&A pace -- feels as high as it's ever been. Our backlog is as strong totally -- as it's ever been. I think it was our second earnings quarter was in late July, we said we started -- we really felt it. And it may be -- that it’s -- we deal with a little bit of a growth here -- middle -- a lot of what we do is in the sponsor community and possibly they responded quicker. I think the larger transactions are a little more affected by -- maybe by the election and tax policy and what happens globally. And if you're growing 20% to 40% a year, I think those types of clients tend to -- the election doesn't make a big difference if your growth rate is high and you're in that kind of a market. So we felt it’s starting in June-July -- I think we talked about in our second quarter call. And right now we feel like it's exceptionally busy and two things are happening, one is we're getting extraordinary efficiency in the way the bankers use their time -- I mean literally our bank -- I've talked to bankers and they're on their resume from all the way 7:00 AM to 7:00 at night. I used to ask your banker, were you busy this week? And they said well I had to travel to Germany and then I came back and I had to get to the West Coast and then came back and so they’re literally talking about two-thirds of their -- 90% of their work time was getting to or from an airport. I think we're getting more production per hour -- because of that dramatically because of where people are and actually we are getting less expenses, so it’s a pretty interesting what’s going on right now, so the short answer is I feel like M&A might be the strongest -- strongest we have ever felt, let’s put it that way.
Devin Ryan: Yeah. Okay, terrific. And then this ties into the point you just made, Kenneth. I guess for Joe just around expenses, so your non-comp costs are down 20% year-over-year at least in the third quarter and clearly some tailwinds there just with the limited travel. But as business starts to continues to recover hopefully and travel hopefully at some point here starts to pick back up. Where do you see that I guess balancing out and how should we think about non-compensation costs trending into next year? Just contemplating kind of maybe some recovery but at the same time maybe you pull back in some spending areas. Travel may not quite get back to where it was and also contemplating some of the headcount expansion that you're also talking about.
Ken Moelis: Yeah. So I think you know thinking about non-comp, if I think about just the next quarter I'm thinking that it's still probably in the $30 million level thereabouts. Again that's assuming that travel stays at current levels. I have no idea how to predict travel but I'm fairly sure that it's not going to resort back to where we were in 2021 or I don't -- I don't believe it will be. I think that's probably something on the order of at this point $8 million per quarter that we see in terms of the decrement in travel. So, and then on top of that you should also know that the new New York lease expense is fully taken into account in that $30 million run rate. So, the real swing factor is going to be travel.
Devin Ryan: Okay. Got it. I just want to make sure -- the $8 million is where we get back to -- or that's the …
Ken Moelis: No no …
Devin Ryan: …ongoing benefit.
Ken Moelis: If you want to think about a boundary, we're currently spending modest amounts on travel. A couple million dollars a quarter used to be probably $10 million a quarter. So there's an $8 million delta on a quarterly basis. I don't know how to judge -- how much of that is going to have return. I'm assuming that it's going to be quite a bit less than the full $8 million gap right now.
Devin Ryan: Yeah. Okay. Terrific. I'll leave it there. Thank you guys.
Ken Moelis: Thank you.
Operator: Our next question comes from Manan Gosalia from Morgan Stanley. Please go ahead.
Manan Gosalia: Hi. Good afternoon. And maybe just to -- just a follow-up on the broad line of questions -- do you think that we're on the start of another like two year, three year cycle in M&A -- you know your comments earlier on the call are pretty bullish overall, but basically what I'm trying to get at is you know we typically saw two year to three year down cycles when we had a recession. This time it was two months to three months. So how robust do you think this inflection is that we're seeing right now and does this rebound have a lot more room to go from here?
Ken Moelis: Well look there's a lot of volatile -- there's a lot of things up in the air right -- there's an election next week and there is a virus out there. But what I'm seeing would lead me to believe we're in a long-term a M&A cycle two years to three years easy. And one of the reasons is -- I think you have -- you have all this part of the economy -- you have 25% or whatever it is -- 15% to 20% that's going through restructuring -- just affected so negatively by the virus. So they'll restructure and maybe -- and I don't know what happens there. They might consolidate. I think size -- it showed that size mattered in this downturn; number two. And lastly and I think most importantly the scope of the economy really changed. The pandemic has really, look at our own business and I’d say maybe we’re a kind of a zoom economy, but maybe we did $8 million in travel or maybe it’ll be $4 million, and maybe our productivity went up. And I think, I think every business is looking at your business and is going to make that's why they said at the end is good to make large decisions. If you're a winner in this environment and your stock, you’re booming you might make a decision to change or continue to grow. And if you're a company that was marginally you’re not in restructuring, but you're kind of marginally off center and you weren't ready for the digital economy maybe you have to do something quick and change your strategy and your go to market. I think what I said at the end is very important. The COVID will change everything whether it -- whether it's to the extent we believe today, but it will change a lot of businesses and those businesses will have to make decisions around a capitalization, go to market and that's what we do for a living. We help corporations make really big decisions and implement them. I think it will go on for a while.
Manan Gosalia: That's helpful. And then, last quarter I think you spoke about you've done 14 deals on the capital raising side. I don't know if I caught it, but did you mention how much it did on the capital raising side this quarter and how much of a deal win do you have in that business?
Ken Moelis: We like our business. We hired two really seasoned veterans that joined us over the summer. I take the third quarter -- the second quarter if you remember I pointed out because it was so immediate people needed liquidity and we were there to raise it. The third quarter continued that the business is good. It wasn't quite -- the second quarter was an outlier. The third quarter was strong and I don’t -- Joe might have the number. But we pointed it out in the second, because it was one of the reasons -- it was big enough to point out. Now, we think that business that will continue to grow. We see lots of new markets opening up and opportunities in places for us to play. And we really stepped up our game. So Joe I don't know if you have numbers for that.
Joe Simon: Yeah. In the past like if I look at last year it was probably a couple of points of revenue -- 2% to 4% percent of revenues. This quarter I think it’s probably around 8% to 10%.
Manan Gosalia: Got it. That's helpful. Thank you.
Ken Moelis: And you know that’s capital markets advisory. We don't have any trade, so it was all advisory, Devin.
Operator: Our next question comes from Steven Chubak from Wolfe Research. Please go ahead.
Steven Chubak: So I wanted to start off with just a question on MD productivity. Just looking at the historical performance you know MD productivity for you guys peaked in 2018, just above $7 million per -- the five year average is just above $6 million per MD. And just given the optimistic outlook in the release, how should we be thinking about the productivity looking out to next year. And just given what you're seeing in the current pipeline, how quickly do you believe that you can get to that $7 million plus productivity level?
Ken Moelis: I'm not going to give guidance, but I think that's a good analysis. Remember when we were growing fast we always had a new fresh. Whenever you're growing too fast you're always taking on so many new people that they been looking at the, new people don't have. So one of the things 2018 did was -- it was the end of a very significant growth period. So our revenue trend being statistics catch up product. I don’t really think catch that product. I don't really think of it that way but I do think I've said this before that we you know there is a lot of people talking about do we have a comp problem. We had a revenue shortfall in the first half of 2019, they followed us for a while and then -- and then COVID hit in March. So, we didn't get to show what we thought was a pretty significant backlog coming into 2020, which is you know it came to a halt. I think some of what you're seeing now is that backlog is coming to market because we were involved with it to begin the year. And it's a long way of saying I don't -- I don't want to give guidance but I don't -- I think the fact that -- that was revenue friendly and if we can get more productivity by Zoom calling and you know I would hope -- I would hope that’s -- that’s the path we're on. But I don't want to give a timeframe. We're not giving guidance.
Steven Chubak: No. I could certainly appreciate that Ken. But thanks for all that color. Just a follow up on the since you brought up the topic of compensation, through the first nine months revenues are tracking flat year to date. I understand that the fixed comp base is going to grow as the firm grows but wanted to just get some insight in terms of why that variable comp piece is higher since the revenue production is tracking flat with last year and any specific factors that maybe you could speak to.
Ken Moelis: Well, because it's really a nine months -- the quarter was 61% for the revenue we produced, and I think that's if you look at the firm we're not back to full normal. We're still in the first month of the third quarter was just beginning. Now, we're getting back to full stride. I think you can see us get right back to where we want to be on comp. I want to point out one thing too; I've always said that we really aim for 25% pre-tax margin. We beat that right now and that’s I don't think we're full stride yet. And so you see look, when you're looking at the nine months you're looking at there's a quarter in there where March, April, May nothing happened. There was no M&A, the restructuring was just getting started. So again I keep telling people do not look at this year stats there was a three month complete black hole, but you can start to look at what we're doing on a run rate and I think you can see what we're doing.
Steven Chubak: Right. And just one quick cleanup for me. Can you speak to the contribution from ratchet fees whether that was a meaningful contributor in the quarter and also just provide the MD head count?
Ken Moelis: The MDs are 127. Correct exactly. And I would, yeah 127 and I don't have a specific number and one of the reasons is I don't think ratchet played a major role in the third quarter. I mean I'm sure there was a deal or two but I'm usually knowledgeable of when we've had something really hit the top end of a ratchet or change it. It's probably, I thought it was kind of minor. But Joe you have a, you have a flavor.
Joe Simon: I agree. I don't know that number off the top of my head. But it's not something that was something that that struck us as being something that popped off the page.
Ken Moelis: Right. Because I mean you know look there were a lot of deals so it was meaningful we would know it. That's why it's not meaningful, it was meaningful we would know them under.
Operator: Our next question comes from Brennan Hawkins with UBS. Please go ahead.
Brennan Hawkins: Just wanted to start it out on the dividend. I appreciate your comments in considering maybe a special, but this has been quite a roller coaster for the -- for even the regular -- for you all. So, I'm really curious about how your experience in this year may be might inform how you think about a regular dividend -- how you manage the regular dividend -- how your approach is going to be to the regular dividend going forward? Clearly you're feeling a lot better about your business which is -- and raising the dividend by 50% is a very powerful way to state that, but just could you maybe help us think about what -- you might be instilling as far as Gabriele's go or overall philosophy around the regular dividend going forward?
Ken Moelis: I think if it -- we would go back to where we were -- our goal over time is to go back to the regular dividend and the same philosophy we liked it. We ended up with an excess capital even at the end -- and paid it out and specials. And look I can't -- if you tell me when the next time the entire world will shut down and lock themselves in and anybody who didn't take emergency actions in March -- let me say it in the positive -- I run the company as if I own the whole thing -- I run it as if it's my -- I own every share. I did that I would do to protect what is one of the great franchises that we're building. And by the way I said it during the call we are rebounding much more -- I think we're on a rapid rebound because there was not one person in this company who was concerned about the future of the company or its own stability -- and if you remember on April 1 -- by the way it's hard to remember that moment. People were scared and at least I could look everybody on our internal and say you're fine, you're fine. Pick up the phone and the clients call you're fine. Don't worry about us that's worth a fortune and we will -- we will bank that over the next few years as we picked up great people. We banked our clients and we'll see that in for five years now. The focus we were able to have. So, yeah it was a roller coaster. But you tell me the next time we shut the entire global economy down and that's the time I might go through that again. But in the interim I'll assume we won't do that again and I'll go back to the regular way dividend. And by the way if the same thing if it was March 15 again, I'd do the exact same thing until I knew the coast was clear.
Brennan Hawkins: Yeah I totally appreciate that April was a very different period and I'm not trying to…
Ken Moelis: Yeah.
Brennan Hawkins: I wasn't trying to imply any kind of question about the decision whether or not it was a good one. Just was more the business that you're in is a great business. It takes off a ton of cash as is evidenced by your capital return policy. But sometimes the trajectory of the revenue can change pretty dramatically. Whether it's cyclically driven or what have you. And so I’m just -- my question was more based around that and whether or not you might approach raising the dividend at a more measured pace as you grow? That's all.
Ken Moelis: No I think we'll try to bring it back as soon. If you've told me the virus was cured tomorrow I know where I'd be and it would look pretty. Again I'm speaking out of turn because I'd have to talk to the board, but we would probably bring it back pretty quick and we'd want to go back to that. We have a great balance business, we have a great restructuring team and they, they usually it's countercyclical. And our cash flow is balanced for that reason. And we also have a very nimble team and they all move to do like in the second quarter they all move to help do the capital market side of the business. So I have a lot of faith in them to do things like that. I just had no idea of what would happen when we all went home and sat on our couches that concerns me because I've never done it before. But I do know in a regular way if you've got a great restructuring team and you've got great thinkers, I know what we can do with cash and by the way and we have no debt. So if there was a quarter, if there's a quarter of downturn I don't mind because we have such a fortress balance sheet. Quarters don't matter. So I'm pretty comfortable with it. We generate that kind of free cash flow that's why for all those years we were we were shedding cash we were having to do two specials one mid-year one at, one at the beginning of the year because the cash buildup is so quick. So I think I'd be if you told me Brenna that you had cured the virus I think I know what I'd recommend to the board. And it would be very, very similar to what it was prior.
Brennan Hawkins: That is very, very clear.
Ken Moelis: Yeah, I can't say the board would approve it. I have to speak for them but I know what I would recommend.
Brennan Hawkins: Great. Thank you. Thank you for that. And then just wanted to follow up on the MD headcount question. So 127 I think that's up one year-to-date. But you have either promoted or hired a total of 13. So can you help us square was that just the idea that maybe you had realized at the end of 2017 that you had previously gone through too fast a growth spurt and you needed to make some adjustments or was that just regular way departures that happen all of the time, can you maybe, was there anything unusual that was happening on the -- on the MD count side.
Ken Moelis: Well, but a lot of times what happens is we -- we manage our -- we manage our head count actively every year and what usually happens is we start talking to people like sometime around now and we give them to the end of the year. And a lot of those then heads drop off in January and February, you know they’re December 30. They're still on the payroll formerly. And we give them time and then they go. So we don't look the reasons no, we don't do extraordinary charges or our comp ratio includes all our hiring which is investment spend and all of our people management. We view people management as the core competency of what we do. So we don't -- we don't segment it out, it’s just merits in there every year. And look -- and in a year like this I don't know how to look at some people this year, I don't think it was a lot of this year because we really tried not to do anything -- during the tendency at the beginning of the crisis, we really didn't want to do any head count. So if there was it was -- it was people we talked to at the end of 2019, give time to find their way out.
Brennan Hawkins: Okay. Great. Thanks for answering my question.
Ken Moelis: Thanks.
Operator: Our next question comes from Michael Brown with KBW. Please go ahead.
Michael Brown: Great. Thank you, operator. So, Ken I just wanted to follow up on the compensation discussion earlier, so as I mentioned before you know revenues are kind of flat year to date now that we are towards the end of October Now that we are towards the end of October -- I’m just kind of curious how you think about that full year comp ratio? I know that there was -- a lot of uncertainty earlier in the year, but now that we're kind of closer to the end of the year -- any sense as to where that could end up -- last year you ended at a 63% comp ratio for the full year. I understand is a greater fixed cost and variable cost embedded in the comp structure this year, but just trying to get a sense if -- we could kind of get down to that ballpark perhaps something in the mid 60% range -- and obviously knowing there's an election around the corner which could certainly be a wildcard here?
Ken Moelis: Look I'm not going to give guidance for the fourth quarter. We think we have a very -- we had a great -- we said our backlog is strong and I think if you look at the third quarter -- third quarter is pretty clean, and it's not -- it's not back up to our run rate of 2018, but it's clean. So I think you can see how we think about comp when we don't have a virus -- we don't have a shutdown going on or -- a complete stoppage of business. Look very hard to say that the second quarter and even the first quarter -- the second quarter especially of 2020 reflected any natural business environment. So again if you're trying to blend the whole year into what was -- three distinct Lego blocks coming together for the first -- the second was completely different. The third is queen and the fourth will be what it is, but I think if you look at the third you can see the way we think about the business on a natural basis.
Michael Brown: And you mentioned the backlog and because of this pandemic the drivers of this turnaround in M&A had been quite different. And we've seen certain areas that have been stronger and areas that have been a lot weaker here and so cross border has been weak, large cap strategic have had pockets of strength but we haven't seen a full bounce back there at least not yet. So how would you characterize some of the key themes supporting your backlog at this time. What are, what are some of the key strengths there? And then I also wanted to hear about what you're seeing in Europe obviously the cases there have been spiking and just curious if that has sort of the impact deal activity over, over there in Europe? Thanks.
Ken Moelis: The interesting part is I can't almost everywhere is strong, I go around the world I think Asia is fairly strong our even, even our joint venture which nobody talks about. We do have significant exposure to Australia. They're doing well. The Middle East is booming I will tell you that that franchise since we were involved with the Saudi Aramco IPO is leading, the lead advisor on that I think our activity there has never been higher. Europe is as good as it's been in a long time and we get a lot of headcount. We brought in some great people. We've done some maneuvering around Europe. Does it have the profitability of the US? No it doesn't have the velocity of deals that the US does. But I feel much better about what we're doing in Europe. The US is strong and the US is unbelievable how it recovers from these things. I think it's a real testament to our economy. And I think as we said all the businesses are really, really doing well. I can't think of I mean M&A is doing fine doing very well. Restructuring is elevated and even GAAP markets continues to go fairly well, I think well if I had maybe a mark. I don’t have that really that, everybody seems to be doing pretty good. I can't really think of a bad market.
Michael Brown: Okay yeah appreciate the color. Think again.
Operator: Our next question comes from Jeff Harte from Piper Sandler. Please go ahead.
Jeff Harte: Hey good afternoon guys. Most have been asked, but just a couple of follow ups. When we look at the M&A business is it reasonable to think that the worst is kind of behind us now from the COVID announcement drop off?
Ken Moelis: Yes.
Jeff Harte: Okay.
Ken Moelis: To answer that is from my viewpoint the answer is not only yes but I also think people are -- I've met people are leaning into things and really are. It seems like and I know it sounds strange right. Because we're in the middle, we're still home and there's still a lot of uncertainty. But I believe that the amount of people who run companies and institutions and especially private equity they want to do things is significant.
Jeff Harte: Okay and as we look from the outside kind of the industry data we can see shows mega deals and really big deals being awfully strong. But deal counts kind of lagging a bit. Are you starting to see some spillover from kind of the megadeals into more of the middle market?
Ken Moelis: Kind of see it the other way around. I thought the middle market when I was having the call in July and I said I saw the M&A market come back. I've got feedback that all you guys said [indiscernible] that I was seeing something different than everybody else. So I saw the first mover being the sponsor community coming back quickly -- and then I saw -- I felt that thing -- went to the big deal market, but that may just be me, but that's what I saw.
Jeff Harte: Yeah. It’s Interesting.
Ken Moelis: I want to be clear -- I do think that it's the market that is big enough to access institutional financing and that's important. I think that the subscale deals -- the smaller deal flow -- I think does have trouble the bank market is kind of like -- banks aren't fully backed -- there's going to be a real price to pay here in the -- in the general economy and so I do think you have to be careful. I do think M&A started and then it was what we now call -- the sponsor middle market which could be anywhere from $1 billion to $10 billion -- but that’s -- they can access the institutional money markets and credit markets which is a little different than having to go to banks. Banks are not fully back in the financing and I think that you might see that lag a little bit because there might be -- there’s some -- I think there's some troubles coming from just credits in the banking system.
Jeff Harte: Okay. Then -- thank you. You mentioned earlier the relative contribution kind of from the capital markets business -- and I thought I heard you say something earlier about restructuring. It did -- did I hear you right to say that restructuring was kind of close to the top of that 25% of revenue range that it's been in historically in 3Q 2020?
Ken Moelis: I think that's right. Yes. For Q3 -- that's right.
Jeff Harte: Okay. Thank you.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to Ken Moelis for any closing remarks.
Ken Moelis: Thank you all for getting on. Next time we talk, though election would be behind us, it will be 2021, hard to believe and I hope we're talking from an office somewhere and not from home. So good luck, stay safe and we'll see you in 2021. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.